Operator: Greetings. Welcome to the Helen of Troy Third Quarter Fiscal 2024 Earnings Conference Call.  At this time, all participants are in listen-only mode. A question and answer session will follow the formal presentation. If anyone should require Operator assistance during today’s conference, please press star, zero from your telephone keypad. As a reminder, this conference is being recorded. I’ll now turn the conference over Jack Jancin, Senior Vice President of Corporate and Business Development. Mr. Jancin, you may now begin your presentation.
Jack Jancin: Thank you Operator. Good morning everyone and welcome to Helen of Troy’s third quarter fiscal 2024 earnings conference call.  The agenda for the call this morning is as follows. I’ll begin with a brief discussion of forward-looking statements. Mr. Julien Mininberg, the company’s CEO, and Ms. Noel Geoffroy, the company’s COO will comment on financial performance of the quarter and current trends; then, Mr. Brian Grass, the company’s CFO, will review the financials in more detail and our financial outlook for the remainder of the fiscal 2024. Following this, we will take questions you have for us today. This conference call may contain certain forward-looking statements that are based on management’s current expectations with respect to future events or financial performance. Generally, the words anticipates, believes, expects, and other words similar are words identifying forward-looking statements. Forward-looking statements are subject to a number of risks and uncertainties that could cause anticipated results to differ materially from the actual results. This conference call may also include information that may be considered non-GAAP financial information. These non-GAAP measures are not an alternative to GAAP financial information and may be calculated differently than the non-GAAP financial information disclosed by other parties. The company cautions listeners not to place undue reliance on forward-looking statements or non-GAAP information. Before I turn the call over to Mr. Mininberg, I would like to inform all interested parties that a copy of today’s earnings release has been posted to the Investor Relations section of the company’s website at www.helenoftroy.com. The earnings release contains tables that reconcile non-GAAP financial measures to their corresponding GAAP-based measures. The release can be obtained by selecting the Investor Relations tab on the company’s home page and then the Press Releases tab. I will now turn the call over to Mr. Mininberg.
Julien Mininberg: Thank you, Jack. Good morning, everyone, and thank you for joining us. This morning, we reported results that came in slightly above our expectations. I am pleased with the recent consistency of our results and believe we are on track to achieve our full year financial objectives. For the past several quarters, our organization has made significant progress across the initiatives we announced at the beginning of fiscal ’24, as well as the comprehensive work streams we have been executing under Pegasus. This outstanding work has helped enable our results in fiscal ’24 and helps set us up for future growth. Today marks my last earnings call with you as CEO of Helen of Troy. As previously announced, after 10 years in my current role, 20 years in C-level roles and 34 years in the global consumer products industry, I will be retiring on March 1 and Noel Geoffroy will become only the third CEO since the company’s founding in 1968. Noel is an outstanding leader. In addition to her work as COO, she has been working very closely with our global leadership team and the rest of our organization to develop and implement the Elevate for Growth strategy detailed in our Investor Day last October.  As I look back on the past decade, leading the company’s transformation has been an honor. I am very proud of what we have achieved. When I became CEO in 2014, we challenged ourselves to increase sales of Helen of Troy by 50%, and we asked ourselves what it would take to double adjusted earnings per share. We far exceeded those goals not only on the business results, but also by significantly strengthening our brand portfolio through strategic acquisition and divestiture and further building our existing brands into consumer-preferred solutions that are trusted, purchased, used and adored. We also established a set of highly capable global shared services that drive efficiency and effectiveness.  Our relentless focus over the past decade has been on executing the transformation with excellence, creating and delivering countless innovations designed each to delight consumers and continuously improving our capabilities as a unified global operating company. I am most proud of the powerful culture we’ve created. It helps make the company an employer of choice. From all corners of Helen of Troy, our global associates work every single day to do together what none can do alone. We take enormous pleasure in serving millions of consumers and retailers around the world. I would like to thank our people for their enduring passion, engagement and ownership mindset. I am inspired by their never-ending devotion to drive the company, its brands and its timeless values. They are the secret sauce of Helen of Troy. Before I turn the call over to Noel, I would like to leave you with one more thought. I remain confident that the best is still to come. Noel is the right next CEO, the Elevate for Growth strategy has just the right balance of newness and continuity, and the organization is fully committed to delivering its stretching yet achievable goals.  To close, I would like to thank you, our investors and analysts. I have enjoyed getting to know so many of you throughout my tenure. I learned from you and I worked hard to use your input to make myself and our company significantly stronger and better. With that, on to Noel.
Noel Geoffroy: Thank you, Julien, and congratulations on your distinguished career. Your leadership over the last 10 years has transformed Helen of Troy from a holding company into a focused operating company and a leader in consumer devices and consumables with an outstanding brand portfolio and a highly capable global organization. Building on its 50 year-plus heritage, you repositioned Helen of Troy to create significant value and set a foundation for a bright future. Above all, you led with genuine care and appreciation for all stakeholders, creating a powerful culture and an enduring legacy. The entire organization will miss you and we wish you all the very best in your retirement.  Now let’s turn to our third quarter business results and outlook for the remainder of the year. As Julien highlighted, our third quarter consolidated net sales and adjusted EPS were slightly better than the outlook we provided in October. We are pleased to be in a position to end the fiscal year within the ranges of our original full-year outlook for net sales, adjusted EPS, and free cash flow.  For perspective, the midpoint of our current outlook for net sales and adjusted EPS is essentially the same as what we provided at the beginning of the fiscal year, and we have maintained our outlook for free cash flow. We also expect continued expansion of our gross margin and further improvement to our debt position. Brian will elaborate further during his remarks. In addition, our Pegasus initiatives remain on track and are enabling improved efficiency and effectiveness in fiscal ’24.  Third quarter net sales declined 1.6%, an improvement versus the decline of 2% to 4% in the outlook we provided in October. Adjusted diluted EPS was $2.79 or a 1.3% increase over the same period last year, and also slightly ahead of our expectations.  During the quarter, we further expanded our gross margin by over 200 basis points, controlled expenses while still investing in our strategic initiatives, and built on the strong cash flow generation we have been delivering over the past five quarters with a further $66 million of free cash flow. This is a solid outcome in what continues to be a challenging macro consumer environment, and is a testament to the initiatives we have chosen, the talent and dedication of our global associates, and the strength of our brands. Macro trends have remained broadly consistent since we spoke to you in October. Persistent inflation and reduced household savings continue to require consumers to make tough choices on all types of spending. While overall consumer confidence has recently improved and the pace of inflation has slowed somewhat, consumers remain prudent with their money and continue to prioritize spending on travel and other entertainment experiences. We saw this trend play out with holiday performance for our brand portfolio. Osprey and OXO performed well overall, Hydro Flask performed well online, and our hair tools performed below expectations. As this consumer environment has evolved, so have we. We spoke earlier this year about the ways we are expanding our product assortment to incremental channels and price points to improve our availability and relevance in this environment. I’m pleased with the progress of these efforts as we see benefits from expanded distribution, new product offerings, and organizational changes. As we prepare for fiscal 2025, our entire organization is working to advance the ambitious set of initiatives and goals that we announced as part of our Elevate for Growth strategic plan at our October investor day.  Turning now to our segments. Home and outdoor net sales grew 3.1% over the prior year period driven by strong club channel sales, new product introductions, and expanded distribution and sell through. Starting with OXO, the brand was a standout in the quarter. Excluding the impact of the Bed, Bath and Beyond bankruptcy, overall point of sale was strongly positive during the three-month period and OXO grew market share in the core kitchen utensil segment. Brick and mortar growth was primarily driven by our club programs as well as expanded distribution of OXO with several of our major retail partners in the bath, kitchen organization and gadget categories. Our product offerings also performed very well online, growing double digits over the same period last year, driven by success in the electric and infant and toddler categories. OXO also benefited from strong sales across brick and mortar and online as consumers turned their attention to holiday entertaining. Turning to Hydro Flask, as anticipated, consumer demand in the insulated beverage ware category continued to shift from bottles to tumblers. We benefited from a full quarter of our new travel tumbler, including the launch of some new on-trend colors. As mentioned previously, we progressively rolled out our tumbler line to retailers in September and October and continue to be pleased with both consumer and retailer reception. Online sales for Hydro Flask were up, driven by demand for our travel tumblers as well as some accelerated holiday load-in. We also saw increased demand for personalization through our My Hydro website.  Moving now to Osprey, the brand continues to benefit from new innovations that meet consumers’ desires to get out and travel. Strong demand and a better inventory position compared to the prior year period drove sales of Osprey travel packs, travel wheeled packs, and lifestyle packs. New innovations such as Osprey’s Sojourn travel series redesigned for fall 2023 provide luggage and travel packs for adventure-seeking travelers. The all-new AO collection of lifestyle packs have also been doing well, offering Osprey’s take on best-in-class comfort and urban sophistication. Internationally, the brand continued to perform very well with growth in key regions of Great Britain, Germany and France driven by strong travel demand, brand strength, and a robust product line-up. Stepping back, Osprey’s growth continues to exceed our expectations and acquisition assumptions.  Switching gears now to our beauty and wellness segment, net sales declined 4.9% primarily driven by lower sales of hair appliances as well as a softer start to the cough, cold and flu season versus prior year, which impacts sales of our humidification and thermometry products. While we have seen an increase in incidence since mid-November, cumulative incidence for the illness season was below year ago for the third quarter and in December. Despite recent news reports citing increased cough, cold, flu and COVID incidence, our outlook now assumes the season will be below historical averages. Ultimately, the impact on our results will depend on the severity and timing of the illness season and the resulting retailer inventory replenishment.  Looking at our beauty portfolio specifically, while our hair appliances declined versus year ago, we gained market share on our key brands in mass retailers with our expanded assortment. In addition, Drybar and Curlsmith Prestige liquids continued to grow behind strong innovation pipelines. Drybar’s Big Brew hair thickening crème saw strong performance by delivering on the highly desired consumer benefit of thicker looking hair. Curlsmith’s anti-frizz collection quickly became one of our bestsellers and a consumer favorite by addressing the number one unmet need among textured hair consumers.  In our wellness portfolio, Braun grew double digits driven by strong demand in our key international markets. This growth also translated to higher market share helped by our improved supply position to better meet the growing demand. Towards the end of the third quarter, we leaned into online marketing and ecommerce support for our Vicks brand and saw a double-digit pick-up in demand. As the brand is market leader in the U.S., Vicks humidifiers, Vapo-Steam and Vapo-Pads are well positioned to serve retailers and consumers if the illness incidence accelerates. In water filtration, Pure increased market share for both faucet-mount and pitcher systems behind increased demand in ecommerce and key brick and mortar customers. Looking at our international business, sales were better than we expected, largely due to outperformance in EMEA from Braun and Osprey. As mentioned, Braun benefited from increased supply, and Osprey enjoyed strong demand from continued growth in travel. Before I turn the call over to Brian, I want to share that our organization is energized and motivated to finish this fiscal year strong as we advance into the Elevate for Growth era. As detailed in our recent investor day, the multi-year Elevate for Growth strategic plan builds on successful themes while also introducing several new strategies that I am optimistic will help us elevate to the next level. One of those strategies is to be consumer obsessed in all that we do. As I shared in October, we are in the process of sharpening our brand equity to ensure our target consumer and brand positioning definitions are clear, distinctive and inspiring. This is the foundation that we believe will lead to elevated brand activation and pipeline.  I am pleased with the progress and engagement I am seeing across our organization in this critical work. We believe this combined with the fuel generated by Pegasus will allow us to deploy even more investment dollars into our brands, supported by more focused, data-driven investment choices. We also intend to continue to expand our distribution, making our brands more available and more visible where our shoppers are shopping. We will also continue to lean into next-level centralization of shared services so that we leverage our functional expertise in all that we do. I believe the best is yet to come for Helen of Troy in the Elevate for Growth era.  With that, I would like to hand the call over to Brian.
Brian Grass: Thank you Noel. Happy new year everyone. I’m pleased to report third quarter results that exceeded our expectations. We achieved better than expected net sales, further strengthened gross margin, grew adjusted EPS, and generated strong cash from operations that puts us ahead of schedule at this point in the year. Our adjusted EBITDA margin was largely flat despite higher marketing and annual incentive compensation expense and lower operating leverage compared to the same period last year. Our adjusted EPS of $2.79 exceeded expectations even as we overcame a charge of approximately $0.05 related to the Rite Aid bankruptcy during the quarter. Our Pegasus initiatives remain on track and we used fuel from Pegasus to make incremental growth investments during the quarter.  Consolidated net sales decreased 1.6%, which was favorable to the 4% to 2% decline we provided in our outlook in October. As a reminder, our outlook continues to include the estimated year-over-year declines from SKU rationalization and the Bed, Bath and Beyond bankruptcy of approximately 3.4% combined. Gross profit margin improved 210 basis points to 48% compared to 45.9% for the same period last year, largely in line with our expectations for the quarter. Year-over-year improvement was due to lower inbound freight costs, the favorable impact of SKU rationalization in beauty and wellness, and the more favorable customer mix within home and outdoor. These factors were partially offset by a less favorable product mix within beauty and wellness and a less a favorable sales mix overall. GAAP operating margin for the quarter was 19.5% compared to 13.8% in the same period last year. GAAP operating margin includes a gain of $34.2 million from the sale of our El Paso facility that was completed during the quarter, as compared to a gain of $9.7 million from insurance recoveries included in the same period last year. On an adjusted basis, operating margin declined 30 basis points to 16.3%. The decrease primarily reflects higher annual incentive compensation and marketing expense, the Rite Aid bankruptcy charge, lower operating leverage, a less favorable sales mix overall, and higher distribution expense as we fine tune our new state-of-the-art distribution facility and fully integrate it into our network in fiscal ’25. These factors were partially offset by lower inbound and outbound freight costs, lower salary and wage costs primarily due to our Pegasus role reductions, the favorable impact of SKU rationalization in beauty and wellness, and a more favorable customer mix within home and outdoor. On a segment basis, home and outdoor adjusted operating margin decreased 50 basis points to 16.9% driven by higher distribution and depreciation expense related to our new distribution facility, increased marketing expense, an increase in inventory reserve expense, and higher annual incentive compensation expense. These factors were partially offset by lower inbound and outbound freight costs, lower commodity costs, lower salary and wage costs driven by Pegasus, and a more favorable customer mix. Adjusted operating margin for beauty and wellness was in line with the prior year period at 16% despite lower operating leverage. The segment’s adjusted operating margin reflects lower inbound and outbound freight costs, reduced inventory reserve expense, the favorable impact of SKU rationalization, decreased distribution expense, and lower salary and wage costs driven by Pegasus. These factors were offset by an increase in annual incentive compensation expense, higher marketing expense, the Rite Aid bankruptcy charge, and a less favorable product mix. Net income was $75.9 million or $3.19 per diluted share. Non-GAAP adjusted diluted EPS grew 1.5% to $2.79 per share primarily due to a decrease in the adjusted effective tax rate, lower diluted shares outstanding, and a decrease in interest expense partially offset by lower adjusted operating income.  As previously disclosed, during the third quarter we closed on the sale of our El Paso distribution and office facility for total proceeds of $51 million. During the third quarter, we recognized a pre-tax gain on the sale of approximately $34.2 million in SG&A, of which approximately $18 million was recognized in beauty and wellness and $16.2 million in home and outdoor.  We continued to generate strong cash flow with cash from operations of $75 million in the third quarter. Year-to-date cash flow from operations was $233 million, which is an improvement of $183 million year-over-year. We ended the quarter with total debt of $736 million, a sequential decrease of $109 million compared to the end of the second quarter and a $345 million decrease compared to the same period last year. Our net leverage ratio was 2.34 times compared to 2.68 times at the end of the second quarter and 3.1 times at the same time last year. Turning to our full year outlook for fiscal ’24, we are fine tuning our range for net sales and adjusted diluted EPS. We’re also raising our outlook for GAAP diluted EPS to reflect lower expected restructuring charges and narrowing the range to align with the adjusted diluted EPS expectations. We are maintaining our outlook for free cash flow, reflecting slightly lower cash from operations offset by slightly lower capital expenditures, and maintaining our ending net leverage ratio expectations. Finally, we are lowering our adjusted EBITDA outlook to reflect lower adjusted operating income and a lower depreciation add-back than originally expected. The lower adjusting operating income reflects a slightly less favorable sales mix and the impact of incremental growth investments as compared to our original expectations. Our outlook factors in our year-to-date performance as well as our view of continued pressure and uncertainty on consumer spending, a softer than expected holiday sales season, and lower illness incidence than the prior year, which was in line with pre-COVID historical averages. Finally, we believe retail inventory as a whole is at healthy levels and we continue to expect that sell-in will more closely match sell-through during the remainder of fiscal ’24. We now expected consolidated net sales between $1.975 billion and $2 billion in fiscal ’24, which continues to reflect the combined unfavorable year-over-year impacts of SKU rationalization and the bankruptcy at Bed, Bath and Beyond of approximately 3.4%, as I referred to earlier. This compares to our previous range of $1.965 billion to $2.015 billion. In terms of our net sales outlook by segment for the full fiscal year, we now expect a home and outdoor decline of 1.5% to 0.5% and a beauty and wellness decline of 7.5% to 5.9%. We now expect GAAP diluted EPS of $6.67 to $7.05 for the full year compared to our previous expectation of $6.36 to $7.03. We are narrowing our outlook range for non-GAAP adjusted diluted EPS to $8.60 to $8.85 compared to our previous expectation of $8.50 to $9. Moving onto our tax outlook, we now expect a GAAP effective tax rate range of 20% to 19% for the fiscal year and are maintaining our expectations for a non-GAAP adjusted effective tax rate range of 14.5% to 13.5%. We now expect capital asset expenditures of between $40 million and $45 million for fiscal ’24 compared to our previous expectation of $45 million to $50 million.  We continue to expect free cash flow to be in the range of $250 million to $270 million, reflecting slightly lower cash flow from operations and slightly lower capital expenditures, as just mentioned. We now expect adjusted EBITDA of $330 million to $335 million, which implies growth of 0.8% to 2.3% compared to our previous expectation of 3.2% to 6.3% growth. We are maintaining our net leverage ratio outlook of 2 times to 1.85 times by the end of fiscal ’24.  In closing, I am pleased with our results year to date, which position us to end the year within the ranges of our original full-year outlook for net sales, adjusted EPS, free cash flow, and end-of-year debt leverage. More specifically, the midpoint of our revised outlook for net sales and adjusted EPS is essentially the same as provided at the beginning of the fiscal year, and we have fully maintained our outlook for free cash flow and ending debt leverage. I’m also pleased with our sequential improvement in year-over-year sales and gross profit performance throughout the year. Our teams are doing a great job at continuing to navigate a pressured consumer environment, as well as the structural headwinds of higher annual incentive compensation, depreciation and interest expense. Year-to-date, we have improved our gross profit margin by 340 basis points, largely maintained our adjusted EBITDA margin despite structural headwinds and lower operating leverage, generated $203 million in free cash flow, improved balance sheet productivity, accelerated debt repayment, and returned capital to shareholders. We continue to expect Pegasus to provide the fuel and operational improvements that allow us to achieve the objectives we outlined at our investor day, which are: average annual growth rates of 3% to 4% for net sales, 30 to 40 basis points of adjusted EBITDA margin expansion, and at least 10% adjusted EPS growth. We look forward to providing our fiscal 2025 outlook on our normal timing when we report our Q4 results in April. With that, I’ll turn it back to the Operator for questions.
Operator: Thank you. We’ll now be conducting a question-and-answer session. [Operator instructions] Our first question today comes from the line of Bob Labick with CJS Securities. Please proceed with your question.
Bob Labick: Good morning and Happy New Year to you all. 
Julien Mininberg: Hey, Bob.
Noel Geoffroy: Hey, Bob.
Bob Labick: Hi. I wanted to start off just by saying to Julien, congratulations once again on your retirement and the last earnings call. It obviously has to be exciting, and it’s been such a pleasure to work together since you took over as CEO. We’ve learned a ton from you, and I want to congratulate you on the extreme success of Helen of Troy and the transformation you led. We know the company is in good hands with Noel and Brian and everyone else, so congratulations. We’ve enjoyed it, and we’ll miss you.
Julien Mininberg: Thank you very much, Bob. Very kind of you, and the company is in great hands. And I very much appreciate your comments.
Bob Labick: Absolutely.  So obviously, in the last few months, you’ve already given us a ton of information with a great Analyst Day recently, and you’re already given guidance. So I was hoping for my questions, I wanted just to ask you for an update on Project Pegasus and milestones and expectations for fiscal ’25, maybe speaking a little about the regional marketing organization, new sales opportunities and wins and white space, and I think next year is going to be kind of an inflection back to growth, so maybe talk about how we’re set up in that regard, or how you’re set up in that regard. 
Noel Geoffroy: Yes, sure. Thanks Bob. So, as we mentioned in our remarks, Project Pegasus remains on track, and a couple of the areas that we touched on today and we’ve talked about in the last couple of quarters are some of the savings opportunities that came from this year, and a lot of those were due to the one work stream that was around the reorganization. And as you mentioned, one of the things that I’m most excited about in those changes are not only the efficiency but also the effectiveness that they bring.  And one of the biggest choices that we made as part of Pegasus in that regard was the North American regional market organization, where we created kind of a single selling organization across the company, where our folks calling on our various large customers would be across the entire portfolio versus just one of the segments. What that’s really allowed them to do is, one, build bigger joint business plans, more strategic relationships with those customers, but also identify some of the white space distribution opportunities, looking for those places where we might have distribution of certain of our products currently and others are not in distribution. So we can kind of sell across the portfolio, or they might identify places where the category has developed and we’re not developed, and we’ve got an opportunity to sell things in. We’ve already seen some success there.  We’ve gotten into the dollar channel with some of our water filtration products. We’ve continued -- we’ve gotten into the more mass channels with OXO that we’ve talked about, and we’ll continue to see more of that kind of growth, that’s going to be one of our key levers as we get into fiscal ’25 as some of those plan-o-grams come up. So that was a big part of sort of the efficiency that we saw in Pegasus in this year. As we go into next year, that’s really where the bulk are the majority, a bigger part of the savings come into play, and that comes from some of the cost of goods initiatives that we saw. And again, we feel very good about those initiatives, they’re on track, and that becomes the fuel that we can use to reinvest back in the business, leveraging the new portfolio classification that we laid out, invest to grow, strong hold, and optimize, so we really get a double benefit there, right? We’re able to invest the incremental fuel, but we’re also doing it in a more focused way, I guess, the opportunities that we think are most appealing, best ROI, most attractive.  Brian, I don’t know if there’s anything else you want to build on?
Brian Grass: No, I would just say that when we give our outlook for fiscal ’25, we will do our best to give you an idea of kind of the cadence of Pegasus savings that we expect over the course of the year.
Bob Labick: Okay, great. And then just to build on that a little bit, obviously, at the Analyst Day, you mentioned targeting investment in brands, increasing from 6% to 9%, and then in a targeted way you just discussed. Has that started already, or will that be kind of implemented as the savings come in throughout next year and beyond?
Noel Geoffroy: That’s a great question. I would say, as we commented, we already have started to lean in where we can. There are a couple of places that we leaned in recently, one was Hydro Flask travel tumbler over the holiday season, where we offered personalization, complementary personalization for consumers, that did quite well. We also leaned into an opportunity we saw with Vicks on Amazon. Vicks is a very strong market leader brand in brick and mortar, but a bit less developed online. And so we really leaned in with some online marketing, online support, and saw double-digit increases in our performance there without seeing a dip in brick and mortar performance. So those are some of the areas that, as we identify them, we’ve already started to lean into, and we will continue to do more of that as we build our fiscal ’25 plans and share that in the coming quarter.
Bob Labick: Okay, super. Congratulations, and thanks very much. I’ll jump back in queue. Thank you.
Noel Geoffroy: Thanks, Bob.
Operator: Our next question is coming from the line of Peter Grom with UBS. Please proceed with your questions.
Peter Grom: Thanks, operator, and good morning, everyone. Julien, I want to say thank you for all the help, and I wish you nothing but the best in retirement.  So I wanted to ask about the top line growth. Obviously, the return to growth continues to be delayed, but even kind of going back to the October earnings, there seemed to be a degree of confidence that we could still see a return to growth in the fourth quarter. And Noel, you touched on the environment hasn’t really changed, and I know we will get to ’25 guidance in April. But I guess, how does what you’re seeing today in terms of consumer demand or retail ordering kind of inform your view on when we could actually see a return to growth?
Brian Grass: Yes, this is Brian. I mean, I might look at it maybe a little bit differently than you. I think if you drew a line between -- or plotted our points of sales performance over the course of the year, I think there’s a steady progression towards growth, and it kind of ends with the fourth quarter at the high end of our expectations at very slight growth for the fourth quarter. So I actually think it’s a very consistent and reliable, I would say, path towards growth, and very much in line with our expectations.  We did adjust our range on the high end down slightly and up on the bottom end of the range slightly for the fourth quarter, and I would just view that as a fine tuning and narrowing, and we explained the reasons why we did that. I mean, we had a slightly softer holiday season, and we’re projecting out at this point lower overall illness for the full cold-flu season versus an in-line level of incidence in the same period of last year. So in my mind, nothing really much has changed from the outlook that we gave in Q3, and I still feel we’re very much on track. And we are targeting growth for fiscal ’25, can’t tell you exactly what that looks like until we do all the work that we’re doing, that goes into that, but very much targeted and we feel it’s achievable over time, or we wouldn’t provide in our long-term outlook that has growth.
Peter Grom: That’s super helpful, Brian. Maybe a quick follow-up in the cough-cold-flu commentary. Obviously it’s maybe gotten off to a slower start, but can you maybe help us understand how much of a--like, when you think about the marginal changes to guidance, how much of the weaker season is having on the outlook. I guess should illness incidence pick up, which at least it seems around me they have, could this be a source of upside versus your guidance from here? Just trying to understand the degree of visibility where we are today as it pertains to cough, cold and flu. Thanks. 
Noel Geoffroy: Yes, sure Peter. What I would say is what we look at is the data as it comes in, and both November and December were meaningfully below the prior year in terms of the illness levels. As you noted, and I noted in my prepared remarks, we feel like we’re hearing about it in the news quite a bit, and it is in the news quite a bit - there’s no doubt about that, but the reality is in really all cases, including COVID, which we’re hearing a lot about, it’s below prior year levels. Now, if that changes and things accelerate, that could be an upside to our fourth quarter, but it all depends on the severity and it depends on the timing of that, because it’s got to happen fairly quickly in order for it to make an meaningful impact to our fourth quarter, and that’s why we made the adjustment that we did in our outlook.
Peter Grom: Got it, thanks so much. I’ll pass it on.
Operator: Thank you. The next question is from the line of Olivia Tong with Raymond James. Please proceed with your questions.
Olivia Tong: Great, thanks. Good morning, and best of luck, Julien, with all that you have planned going forward. It’s been great working with you.
Julien Mininberg: Thank you.
Olivia Tong: My first question is really around visibility - you know, you mentioned in your commentary to Peter about the steady improvement through the year. We kind of look at this and think about this year’s performance versus last year, there have been obviously a couple of different fits and starts with respect to that, but maybe just boiling it down in terms of your view on visibility as you head into--as you finish up this year, head into next year. You mentioned that retail inventories are in a better place in terms of sell-in versus sell-through. Do you think the de-stocking is done?  As you think about next year and some of the innovation plan for next year and reflect on the tumbler launch, where you are with respect to that, if you could just talk a little bit about some of the building blocks there, that would be helpful as we think about tying a bow on this year and embarking on next year. Thanks.
Noel Geoffroy: Yes, so as we think about fiscal ’25, it’s really--it’s year one of Elevate for Growth, and so as we’re--you know, we’re in the process of pulling together those plans now. We had some pre-budget meetings in December and then we’ll continue that process later this month and February, before we kind of provide our full look for next year. But the things that are on my mind are very similar to what we discussed in the October investor day. The first is, and I mentioned it in my prepared remarks, kind of really clear, sharpened brand equity to set the foundation, and then this new portfolio classification strategy that we talked about, so that we can really focus our investment and our resources against those opportunities that we think have the best ROI and the best chance for driving growth, fueled by the incremental investment that we will put behind it through Project Pegasus, that will really start to kick in. As I mentioned, we kicked in a little bit of it this year, but a lot of the Project Pegasus efficiency this year offsets some of the headwinds that Brian talked about - the AIP, the interest expense, etc., so next year we really have more opportunity to invest back into the business.  Then another key lever that I mentioned to Bob earlier is the expanded distribution. We’ve seen a couple of those wins that have already come in this fiscal year, but I expect more of that kind of white space distribution closing to be a significant lever for us in fiscal ’25. Those would be some of the things that I think are going to be important drivers. Of course, we also have an innovation pipeline, as we do each and every year, where we’ll bring out some great new products as well, so all of those aspects are what bring the confidence that Brian and I have on what we shared at the investor day, kind of year one of Elevate for Growth in fiscal ’25. Anything you want to build on, Brian?
Brian Grass: No, that’s good.
Olivia Tong: Got it. Then I know at analyst day, you had mentioned--you made some discussion around M&A, looking at divesting, also looking at acquiring. If you could give us an update on that, and then also would you--your debt, obviously, the leverage profile has improved through the year. Would you look at buying something before selling something, or is your preference to sort of match those as much as possible?
Brian Grass: Yes Olivia, this is Brian. I’d say there’s activity going on in both of the areas that you mentioned. Of course, activity doesn’t always mean that there is something imminent or anything like that, but I would say we’re putting effort behind both potential divestiture and potential acquisition, and the--I agree with the comments about the leverage ratio coming down. I don’t think we would need to do a divestiture at this point before we considered doing acquisitions. I think acquisition is available to us, and sometimes these processes take quite a bit of time to execute, and so we have even more time really, honestly, to de-lever before getting to the end of a transaction. The other comment I’ll make is, I think in this environment, some people might view interest rates as being a barrier to completing acquisition, and while we have to be aware of interest rates on our end, I think we look at things maybe a little bit more strategically, and I kind of actually view the environment with lower multiplies because of interest rates as more of an opportunity than a barrier. I think it gives us the opportunity to find quality assets at low valuations, and so we’re really looking to maybe try and take advantage of that and get something for good value.
Noel Geoffroy: The only build I would make is our approach to acquisition remains consistent, right - the discipline and the criteria that we use, the Better Together is key, so as Brian said, we have gotten our debt to a place where we can be even more interested in what is out there, and we continue to look for what’s available but also things that we might be interested in, that may not be on the market, like we did with Osprey, to see if there’s something that we think is a great strategic fit.
Olivia Tong: Got it, thanks so much.
Operator: Our next question comes from the line of Linda Bolton Weiser with DA Davidson. Please proceed with your questions.
Linda Bolton Weiser: Yes, hello. I was wondering if you could comment on the hair appliance category. You mentioned you’re kind of gaining market share, but maybe the whole category is not so good. It seems like Dyson is doing some nice innovation in things, I guess probably at the higher end. Can you just comment on Dyson’s influence on the category and just what you think the category needs in order to get it growing a little bit better? Thanks.
Noel Geoffroy: Yes, sure. Good to hear from you, Linda.  Here’s what I would say on hair tools. When I look at the category in total, especially over the holiday period, the part of the category that’s kind of $199 and lower of price points is not performing as well. It’s the higher end, which is as you’re calling out, where Dyson is playing, that is performing better. We play more in the $199 and below part of the category today, a few items that may be above that, but for the most part we’re at $199 and below. What we’re seeing is, and I’ve mentioned this in a couple of the earnings calls, we worked to broaden our assortment across this year in our hair tools to make sure that we have the full range, so not just the higher end of that $199 but also some of the entry price point hair dryers, curling irons, straighteners, etc., and that has made a positive impact for us in that mass class of trade, where we’re seeing share improvement now that we’ve gotten that assortment broadened again. As we mentioned in the remarks, holiday for us on hair tools in particular was softer than we anticipated, and it really kind of came down to that category of the $199 and less not performing as well in the holiday period. In terms of what it’s going to take, it’s going to take--it’s really the fundamentals. It’s really making sure that we’ve got great innovation that addresses consumers’ needs, whether it’s their pain points or whether it’s the opportunity to save them time, get a better result, etc., and the right claims and marketing to reach them when and where they’re most receptive. That’s certainly part of the activity and plan that our team has as we move forward into fiscal ’25, to continue to do that. We’ve done that very well in the past - you know, Volumizer was a ringing success for us from an innovation standpoint, so we know how to do it, we know how to understand consumers’ needs and build those opportunities, and that’s exactly what the team is focused on doing.
Linda Bolton Weiser: Thanks.  Then I just wanted to ask - I mean, you talked quite a bit about the flu season and everything, but certainly in China, they’re going through a first post-COVID flu season, so it’s been very severe in China. I understand--you mentioned in the past, your Braun thermometers do very well online in China. Is that a source of strength right now? Are you seeing growth in that part of your portfolio?
Noel Geoffroy: We are, Linda. You’re exactly right - we are seeing higher level of illness in China right now and our Braun business, which is quite developed outside of the U.S. in both Europe and Asia, and we are growing very nicely in the absolute based on just the trends that you’re calling out, as well as our share performance is growing in that part of the business.  An interesting phenomenon that we’re seeing over there is during COVID, there was a really big run-up in the no-touch portion of thermometers. At that point, people were really kind of looking to get whatever thermometer they could, and a lot of no-touch thermometers were sold. Since the pandemic has ended, consumers there have kind of come to the realization that they’re a lot less accurate than the ear thermometers are, and we’re seeing a lot of backlash on that as we monitor social media and we monitor ratings and reviews, etc. They’re really coming to the ear thermometer driven by the accuracy, and then you layer on top of that the strength of the Braun brand and the trust that consumers have in it, it’s really making for a winning combination. That’s a bright spot for sure in the business. 
Linda Bolton Weiser: Thanks, and then just my last question is on Hydro Flask. What is the root of why it is performing so much better online than in brick and mortar? Then finally, I just want to say farewell as well to Julien - Julien, it’s been a pleasure working with you, I’ve learned so much, and best of luck with everything.
Julien Mininberg: Thank you Linda.
Noel Geoffroy: On Hydro Flask, here’s what I would say. I mean, I think one of the reasons I think it performed better online than in brick and mortar is that the whole holiday trend went to online more than brick and mortar. We were looking at some syndicated studies, etc., and you really see brick and mortar traffic over the holidays down overall, and down more in December than it was in November, so I think this was a holiday season that really skewed more online than in brick and mortar in most categories and in most cases. Then as I mentioned, this was a place that we leaned into - you know, the travel tumbler did well, we continue to see that shift from bottles to tumblers, and so that was an area that we really leaned into, both with retail partners online but also on our own D2C site, we saw really significant increases in the personalization over the holiday period on Hydro Flask. I think those extra offerings really made the online side of it perform well.
Linda Bolton Weiser: Thank you.
Noel Geoffroy: You’re welcome.
Operator: Our next questions are from the line of Susan Anderson with Canaccord Genuity. Please proceed with your questions.
Alec Legg: Hi, good morning - Alec Legg on for Susan. First, we just wanted to share our congratulations as well to Julien on all of your successful work and your long career at Helen. Noel, we’re also very excited to see you execute the next step of Helen of Troy’s story. My question, just on the gross margins in the quarter and longer term, for this quarter, how much was driven by lower inbound freight versus the SKU rationalization, and then looking forward, how should we expect gross margins to play out between the two buckets? Thank you.
Brian Grass: Yes, we’ve not really broken out or parsed out publicly the specific impacts from SKU-rat versus the other, some of the other factors, but there is meaningful impact year over year, starting to get less and less as we anniversary quarters of inbound freight reductions, so I would say more pronounced at the beginning of the year on that and then becoming less and less over the course of the year, so probably still meaningful but less meaningful than it had been, maybe in Q1 and Q2. SKU-rat, very meaningful impact that we expect to continue to do in smaller degrees as we go forward. This was kind of a fresh look at it as we went through Project Pegasus, so I don’t want people to expect the kind of revenue impact that we had going into this year from it, but we did that because we could get the meaningful profit impact that you’re now seeing in gross profit margins, so we felt like the juice was worth the squeeze. Hopefully going forward, the amount that--the impact that will have on revenue will be less and less, but we’ll still be able to get some of that profit drive that you saw over the course of this year. Hopefully that gives you some directional answer to your question without specifics. I would say they’re both fairly meaningful in Q3.
Alec Legg: Got it, that’s pretty helpful. Then on the top line, so sales came in ahead of guidance. Was there anything that changed during the quarter that led to better top line sales in the quarter, and then also the narrowing of top line for the rest of the year?
Brian Grass: I’d say nothing specific. I’d say just strong execution, taking advantage of our opportunities. We mentioned--the two bright spots I would call out, and Noel will probably elaborate, is the areas where we leaned into from a marketing spend perspective. We really have leaned into Hydro Flask and drove good online sales there with free engraving and some other activities - you know, higher marketing spend and things like that, and then on Vicks, we really leaned into the cold-flu season and really driving sales online. I’d say those are two of the larger things that kind of drove slight over-performance in the quarter versus our expectations. 
Noel Geoffroy: Yes, I called out in the prepared remarks, OXO was a real standout in the quarter if you take out the Bed, Bath and Beyond bankruptcy, really strong point-of-sale across the board, growing share in that core kitchen utensil segment, so OXO was a bright spot. Osprey continues to perform well. We continue to see the strong travel demand, better inventory position than we had a year ago, and really growth across all of the different portions of the business. Obviously there’s the tech path that is the heritage of the brand, but also nice growth in travel and duffle and lifestyle as we extend that brand across, and then I mentioned international was a bright spot, both with Braun and with Osprey. 
Alec Legg: Thank you so much.
Noel Geoffroy: You’re welcome.
Operator: Our next question is from the line of Rupesh Parikh with Oppenheimer. Please proceed with your question.
Rupesh Parikh: Good morning, and thanks for taking my question. Also Julien, best of luck with your retirement.
Julien Mininberg: Thank you Rupesh.
Rupesh Parikh: Just to follow up on the last question on gross margin, Brian, I’m not sure if you can give any updated expectations for how you’re thinking about gross margins in Q4?
Brian Grass: I would say you could expect similar to Q3 with slight, maybe, expansion off of Q3. 
Rupesh Parikh: Okay, that’s helpful. Then as we think about gross margins, you’re now in that 48%-plus range. Is that a fair base that you can build off of going forward? Is this the new steady state to think of, and then going forward, maybe there’s still opportunity for expansion from here?
Brian Grass: Well, I think it’s a fair base to build off of, assuming there is not significant exogenous changes in commodity or freight costs. Then yes, I think we build off of it with Pegasus savings that we’re expecting in fiscal ’25, which is largely cost of goods sold focused.
Noel Geoffroy: The only build I would have on that is you also get the brand portfolio classification benefit, so as we put more Invest to Grow sales into the mix, that’s also a help over time. Remember, now that we’ve classified them, as we put the incremental Pegasus investment, we’re going to focus it more on those brands that are in Invest to Grow, and those are the higher margin brands of the portfolio.
Brian Grass: Yes, that’s a good point - I would say for fiscal ’24, we actually sort of under-achieved on gross profit margin versus our expectations, because we weren’t able to achieve the mix that allows us--or to the degree that we would like, that Noel was talking about, and we do see the opportunity to do that in fiscal year ’25. I would say our base wasn’t quite where we wanted it to be for this fiscal year, but we feel like we can get it to where it needs to be going forward. 
Rupesh Parikh: Great, and then I guess my follow-up question, as you look at the holiday season in terms of trends, if you look at November-December, just curious at the cadence of trends as you look at some of the POS data. Then from a promotional backdrop perspective, just curious how that played out versus your expectations.
Noel Geoffroy: Yes, so holiday performance for us, Rupesh, I would say broadly was in line with what we’re seeing in general consumer spending trends, so OXO and Osprey performed well, and that kind of matches the entertainment travel focus of where consumers are spending those discretionary dollars, more than other places.  As mentioned, Hydro Flask performed well online and the hair tools performance was a little bit softer, but those are probably the parts of our portfolio that are most holiday exposed. We’ve obviously got the big illness portion of our portfolio that we touched on during the call today, so not everything is holiday relevant, if you will. What was the last part of your question, remind me, Rupesh?
Rupesh Parikh: Just on promotional backdrop--yes, promotional backdrop?
Noel Geoffroy: Yes, I would say we didn’t see anything hugely unusual. What I would say across holiday in general is that it started earlier, so we saw retailers starting to offer some of their better deals, not waiting all the way to Black Friday but starting to kind of lean into I a bit earlier in the season, but not dramatically different levels of activity and discount. As I look at our portfolio, not meaningfully different or deeper areas. I’ve mentioned a couple things that we did on Hydro Flask as a really competitive category - we offered the free customization, we had some of the typical offers that we would have online. We had an offer on some special items, special colors that we brought back and things like that, but in general not a dramatic difference year-on-year in what we did promotionally.
Rupesh Parikh: Great, thank you for all the color. I’ll pass it along.
Operator: Thank you. At this time, we have reached the end of the question and answer session, and I’ll turn the call over to Noel for closing remarks.
Noel Geoffroy: Great, thank you. Thank you everyone for joining us today and for your continued interest in Helen of Troy. We look forward to speaking with many of you over the next two days at ICR, as well as virtually at the CJS conference on Wednesday. I hope everyone has a great day. 
Operator: This will conclude today’s conference. You may disconnect your lines at this time, and we thank you for your participation.